Operator: Good afternoon, ladies and gentlemen, and welcome to the Aurubis AG Second Quarter Results 2023/2024. [Operator Instructions]. Let me now hand over to Elke Brinkman.
Elke Brinkmann: Good afternoon, all from my side. I'm here with our CEO, Roland Harings; and our CEO, Markus Kramer, who will present the half year figures and current developments at Aurubis in a moment. As mentioned before, if you would like to ask a question during the Q&A section, please use the key sequence 9*. Let me now turn the floor over to Roland Harings.
Roland Harings: Okay. Thank you, Elke. Also from my side, good afternoon here, and thanks for joining us for the half year results call this time from Hamburg. As you have noted, Rainer Verhoeven is not here today. He's excuse because he is ill, he is recovering, but he is not in the condition that he could participate today. So please take his greetings, and we will start then with the 2 of us, Markus and me to run this call. One first statement, an announcement that Ruas made last Monday was that Stefan Alexander Hoffman was appointed as new Arubis's Chief Financial Officer, starting October 1 in this calendar year. Stefan is an internationally experienced manager from Mercedes Benz Group and it can be assumed that his experience in international finance will be instrumental in the realization of the Aurubis growth story. So we are really pleased that we have now one of the succession person for the Board of Aurubis found. And we all later wish him all the best in his new role. And now let's start with the report about the first 6 months. Aurubis delivered again with an operating EBT of EUR 243 million, a result at a high earnings level. This was a result of a strong operative performance paired with high demand for cathodes and wire rod. Let's have a closer look on the influencing factors. Higher treatment and refining charges for concentrate, a higher metal result, a significantly higher Orbis copper premium with continued high demand for wire rod and considering lower energy costs had a positive effect. These positive effects were more than compensated from the significant year-over-year reduction in sulfuric acid revenues, lower income from refining charges for some recycling materials and increased cost in the group. Group costs were above the previous year's level with significantly lower energy costs, but increased legal and consulting costs due to the criminal activities directed against Aurubis, expenses for the severance package for the departing Executive Board members and the launching costs for the strategic projects currently in implementation. Before we proceed, I would like to talk about the restatement of the previous year's figure. As you know, as of the end of last fiscal year, we booked the financial impact of the criminal activities against Aurubis in the amount of EUR 169 million negative. According to our current understanding, we assume that the negative impact of discriminal activities took effect at the start of the '23 calendar year specifically. Correspondingly, operating and IFRS results have been adjusted from the second quarter '22-'23 onwards. For the second quarter of the previous year, the restatement of the operating result before taxes amounts to EUR 52 million negative. Slide 24 of the appendix to this presentation depicts the new numbers for the previous year on a quarterly basis. Operating ROCE taking EBIT of the past 4 quarters into account decreased to 10% compared to 14% in the first half of the previous year. In particular, the weak financial performance in the second half of the previous year due to the financial impact of the criminal activities and the high level of ongoing investment reduced the ROCE. Due to the high working capital expenditure needed to prepare for the upcoming maintenance shutdown in the Hamburg plant, net cash flow in the first 6 months of 23'24 was EUR 5 million and below the previous year's level of EUR 90 million. compared to the net cash flow of minus EUR 202 million in the first quarter of EUR 23, 24, the net cash flow was clearly positive despite the further increase in working capital. All in all, and based on this positive half year results, we are confirming our forecast range for the current fiscal year at EUR 380 million to EUR 480 million operating EBT. Taking into consideration the latest market developments as well as the metal prices as we currently see them, we now expect the operating EBT to come in at the middle of the guided range. Let us briefly touch on the financial half year results. The slight decline in revenues was mainly due to the year-over-year decrease in some metal prices like copper and lower sales of shapes. As a result of the previously mentioned earnings drivers, gross profit was above last year's level. This is mainly due to the explained profit drivers. All in all, operating EBITDA, EBIT and EBIT came in at slightly elevated levels compared to previous year's figures. This was in part due to the previously mentioned restatement of the previous year's numbers. RSE I already explained on the previous slide. Let's have a look now at some market developments. The copper and metal prices, in general, showed volatile development during the reporting period. But recently, we have seen overall positive momentum on the metal markets. The new copper price pull from Reuters anticipators copper in calendar year '24 at USD 9,201 and USD 9,601 per tonne in 2025, indicating and supporting the positive momentum. Despite the latest upheaval in the concentrate market, Aurubis still saw a good supply situation in quantity and quality of concentrate with increased TC/RCs during the reporting period. Compared to the previous year, we have achieved a very good result on concentrates. During Q2, in particular, production cuts on the mining side, strong purchases from the Asian smelter industry and capacity growth on the smelter side, together with the Panama situation, put significant pressure on the spot market conditions and resulted in historically low TC/RCs on the sourcing markets for concentrates. As we discussed in various -- in various calls before, Aurubis activity on the spot market is very limited to our positioning on the market with long-term supply agreements. Our main primary smelter site in Hamburg and Pirdop are already supplied with concentrates until the last quarter of this calendar year at satisfactory treatment and refining charges. Let's have a look at the recycling markets. There was a strong demand for recycling materials, particularly for high purity copper scrap from Asian smelters due to the sharp decline in smelting and refining charges for concentrates during the reporting period. This reduced availability for the European market due to higher exports to the Asian market. Despite high Asian demand, RCs remained rather stable during the reporting period. CRU estimates an average RC of around EUR 345 per tonne over the reporting period for copper scrap #2 without logistics. This compares or nearly the same number for the prior year period with EUR 357 per ton. The RCs for complex recycling materials were slightly below prior year's level due to lower availability of materials resulting from a drop in industrial activities. Looking again ahead like we did for concentrates. Our production sites are already largely supplied into the fourth quarter of our fiscal year '23 '24. Coming to sulfuric acid. The sulfuric acid market continued to stabilize during the first half of this fiscal year '23, '24, but pricing remains under the pressure -- previous year's high levels. Demand from the European chemical and fertilizer industries is steadily progressing towards normal levels. The return of some fertilizer manufacturers in the North American market region, North Africa -- sorry, North African region has supported demand in the Mediterranean markets. Price level remained at good levels for Aurubis. ACP. We talked in the last quarterly call already as the premium for the year -- calendar year '23 was set at $228 per tonne and is therefore the same like we had in '23 and now in '24. U.S. dollar, Aurubis has a long position of about USD 64 million in the fiscal year '23 '24. Within the scope of our hedging strategy, we have hedged 87% at 1.13 for this fiscal year and around 45% at a rate of 1.093 for the coming fiscal year '24-'25.  Now talking about the gross margins. The breakdown of the income components continues to show our well-balanced business model. In an annual comparison, the gross margin saw overall earnings from the 3 main pillars of the business for the first half year increased slightly. Aurubis continued to benefit from good TCRCs for concentrates and RCs for recycling material, which were at the previous year's level in the group. Earnings from premiums and products were almost at the previous year's level, they were positively influenced by higher capital premiums and ongoing strong demand for wire rod. The lower Sulfuric asset earnings contribution counteracted this position. At a group level, metal gains were slightly above previous year's level. This was a result of stable operating performance in the first half of the reporting period. At this point, I would like again to refer to the adjustments of the quarterly numbers of the previous year. Again, highlight that these details are in the appendix to this presentation. Coming to the cost slide. The group's total cost increased slightly by 5% to EUR 971 million. Energy costs decreased significantly, especially for electricity and natural gas. This was counteracted by an increase in personnel costs and other operating expenses as well as in launching costs for the various strategic projects currently in implementation. In addition to higher wage tariff payments and expenses for the severance packages, personnel costs also increased mainly due to additional staff for growth projects. Other operating expenses have risen significantly compared with the previous year, mainly as a result of additional expenses for legal advice as well as consultancy fees caused by the criminal activities directed against Aurubis. Having now a deeper dive into the energy costs. Compared to the previous year, group energy costs were significantly reduced due to substantially reduced market prices, continued hedging transactions and active energy management. Overall, energy costs after 6 months decreased by 20% year-over-year to EUR 109 million, with both electricity and natural gas, showing significant cost reductions at the group level. This resulted in -- or this resulted -- or was caused by lower demand for electricity from industrial activities and reduced gas prices in the context of the merit order system for power markets in Europe. Equally, the relevant input factors, CO2 and the coal price, the API2 index were significantly below previous year figures. Natural gas prices, in particular, in Germany and Europe were significantly below prior year levels due to a better supply situation with high storage levels in Europe and supported by mild winter conditions. We are in mind that the indirect CO2 compensation is an annual one-off payment, resulting in a lower net energy cost position. For the whole fiscal year, based on the latest market estimations, we anticipate energy costs to be and stay below previous year's figures. Looking forward, we will continue to work on the further electrification of our production process and investing in decarbonizing our production. Secure energy supplies at reasonable prices remain, as we discussed many times, very relevant and important for an energy industry player like Aurubis in general. Looking at the financial position. Key performance indicators continued to show a solid and robust picture. Our equity ratio is still well above our target levels. Aurubis debt coverage was slightly affected by the strategic investments in our greenfield and brownfield expansion. Our financial position is still absolutely sound with a debt coverage of almost 0. Net cash flow was EUR 5 million and below the previous year's level of EUR 90 million due to the high payments for the buildup of inventories in preparation for the shutdown in Hamburg. Compared to the net cash flow of minus EUR 202 million in the first quarter of 224, the development of net cash flow was clearly positive despite the further increase in working capital. The increase in capital expenditure resulted mainly from strategic growth investments, primarily in our new U.S. American recycling plant, Aurubis Richmond, in the fleet treatment on base in Olin and for the second stage of our industrial heat project in Hamburg and also starting the tankhouse expansion in Bulgaria in Pirdop. Now have a look at the segment results. Starting with multimetal recycling. The MMR segment generated an operating EBT of EUR 75 million compared to EUR 103 million the previous year. Lower refining charges due to reduced throughput of some recycling materials had a negative impact. This was a result of lower market availability due to diminishing construction activity as well as declining industrial production and the associated availability of industrial residues. Negative effects compared to the previous year included lower treatment charges for other recycling materials and a lower throughput of electronic scrap. The operating result of the MMR segment was impacted by an increase of costs mainly due to the planned start-up costs in the U.S. side, Richland and the operating ROCE was at 10.3% compared to 15.5% in the last year. Last year's ROCE still reflected improved savings and improved earnings. This was also an increase in capital employed due again to the large part of the high level of growth investments. Coming to the segment custom smelting and products. In this segment, the operating EBIT came in at EUR 235 million in the reporting period. due to the adjustment of the prior year figure, the previous year level of EUR 171 million was significantly exceeded. The segment's positive performance resulted from higher treatment and refining charges for concentrate and increased Aurubis copper premium, higher revenues from the sale of copper wire rod, a higher metal result and significantly lower energy costs compared with the prior year. On the other hand, revenues from sulfuric acid were lower than in the prior year as a result of lower price levels. The segment's operating ROCE fell to 14.2% from 17.2% in the previous year. The segment's ROE of 14.2% was negatively impacted by the financial effects of the criminal activities against Aurubis. In parallel, the capital employed increased as a result of the investments in our assets and also the buildup of inventory stocks in Hamburg for the standstill. Let's move to the outlook for the markets in this fiscal year '23 '24. Despite the latest development on the concentrate market, we continue to expect the market to grow both on the supply and demand side. The latest production issues, together with strikes and logistical problems raised concerns about global supply. Subdued concentrate supply, combined with new investments in the smelting industry in Asia, India and Indonesia led to a shortage in our view, an overreaction of market participants. Nevertheless, all in all, we still anticipate sourcing sufficient supply from our long-term mining partners on the global markets as part of our long-term sourcing strategy at reasonable and profitable terms for our sites, Hamburg and Pirdrop. Based on our expected stock levels and the contracts in place, Aurubis is already well supplied to the end of the calendar year at attractive pricing. Regarding the question, which probably will come also in the Q&A, -- we do not speculate about PCRC developments for the next calendar year. But once again, we are in intensive discussion with many of our mining partners to find right agreements for the coming calendar year '25. Perhaps just something which was announced today. Indonesia, there is a new smelter being built in Indonesia by Freeport McMoRan. And they achieved, given some delays in the ramp-up of the smelter now the agreement with the Indonesian government for an export license, which allows them to export in the magnitude of 900,000 tonnes of concentrate from the Crossback mine to the global markets. I think that's also a strong signal how quickly things in the concentrate market can change. And as we also, let's say, in cooperation or working with Freeport, we see this as a positive sign of the fault. -- the availability of concentrates in the market itself. Coming to this point, higher metal prices. Here, we see a continued strong demand, which will lead to higher premiums and surcharge for refined metals and our copper products. And as a consequence, in this area, Aurubis will continue to deliver good earnings results. Coming to the recycling markets. The strong purchase of Chinese and some other Asian smelters on the global market, in particular, for scrap #2, we see this as a short-term event. Yes, in the short term, we expect to subdue European supply of recycling materials for both higher and lower grade start materials due to the strong purchases and the general economic slowdown. However, first signs of improvement have been indicated due to the latest developments on the metal markets and improved economic activities from industrial partners for more complex recycling materials like, for example, shredder materials, PCB, residues, flex and axes. Our production plans are largely supplied with recycling materials well into Q4 of our fiscal year '23, '24. And again, our diversified supplier network buffers potential supply shortages from the market. So clearing assets, both CRU and ICIS expect the trend of price levels we have seen in recent months for sulfuric acid to continue. Higher input costs for sulfur burners harmed their output, resulting in lower availability on the market, meeting is stabilizing and improving demand from the chemical and fertilizer industry in Europe, Turkey and North Africa. In comparison with our previous expectations, we now expect a slightly better development of the revenue situation for sulfuric acid. However, we expect it to remain below last year's level. ACP, we talked about our Aurubis copper premium for the calendar year '24 has been set at USD 228 per tonne, same like the last calendar year's number. Coming to our copper products, we foresee a continued strong demand trend for wire rod at the high levels of the previous year, while expectations for Shape and flat rolled products are still at subdued level. And here, we see no significant signs of an improvement. However, Wirerod, as mentioned, is a very strong demand -- continued strong demand to the state. Talking about the guidance for this fiscal year, we confirm our group guidance based on the latest assumption for both earning drivers and cost components and continue to expect an operating EBT between EUR 380 million and EUR 480 million and an operating ROCE between 10% and 14%. For the multimetal recycling segment, we still expect an operating EBT between EUR 60 million and EUR 120 million and an operating ROCE between 5% and 9%. The anticipated ROC is due in large part to the growth is lower due to in large part to the growth investment in Aurubis Richmond. For the segment custom smelting and products, we expect an operating EBT between EUR 470 million and an operating ROCE between 19% and 20%.  Taking into market developments and some of the guidance we have given of the market expectation as well as metal prices as we currently experience and see them, we do expect the operating EBT for the group to come in at the middle of the guided range of between EUR 380 million and EUR 480 million. Talking about strategic investments and the impact. This is just a reminder, and most of you have seen and we have discussed this slide of the financial outlook for Rubis. -- strategic agenda for Rubis remains really impact and unchanged, including beyond the developments and changes of the -- at the management level. The financial outlook is known -- well known to the capital markets. However, I would like to review some of the highlights. For strategic investments, we have currently approved EUR 1.7 billion. To a large extent, these investments are underway like Aroma Richmond, Pirdop where the ground breaking just recently took place for the tankhouse extension, Hamburg with industrial heat and the 2-ready anode furnaces as well as the other investments in our production sites. Summing up, these investments will result in a positive EBITDA contribution over the next 3 to 5 years, and the contribution will progress up to EUR 260 million per year, of which Aurubis Richmond will contribute alone around EUR 170 million. But as you know, there is a continued strategic agenda for the Aurubis Group. Looking at the next slide and moving forward, many projects, some of which we will discuss shortly are now in implementation. Aurubis is constantly progressing with its strategic agenda. We have made further progress with newly approved projects such as the precious metal refinery, the complex recycling Hamburg and BOP and ASP, for example, projects like industrial heat, Phase II anti-implementation of the 2-ready anode furnaces will be implemented during the upcoming shutdown at our Hamburg site. But projects that are not yet ready for approval by the executive and subsequent to Supervisory Board are also moving through our development stages, some of which have been already included in our midterm planning horizon. Those projects that are strategically and commercially attractive and have good prospects for passing the final stage gate are reflected in this midterm planning so that the financial and human resource required for implementation can be taken into account in the forward planning. Naturally, clearly, just to restate, this does not presuppose project approval. If the strict investment decision criteria are not met, whether technical, commercial or financial a project will not be approved within Aurubis. Aurubis continues to have a rich reservoir of opportunities in a growing market for our business and for the metals that we produce. And I think we have proven to show and have the right mindset and older the tools and capabilities to turn these projects that create value for our shareholders and stakeholders into reality. And with this, let's have a look at the upcoming milestones of the project in execution. Starting in 24, the first strategic projects being implemented will be commissioned and credibly start production. Once in production, they also will contribute to the company's bottom line. This is reflected in our financial guidance. It is impressive to see the progress each site is making with its strategic projects. Allow me to mention just a few of the projects that will be implemented in start operation in this calendar year '24. Both industrial heat Phase 2 and the conversion of the anode furnace to make them H2 ready will be implemented as we speak during the Hamburg shutdown this year from May to July. In addition, the fleet treatment, all in Belser, as we call it BOP and the advanced sludgeosing, ASPA, it's called project, both of which focus on the further processing of intermediates will start their production this year. Aurubis Bulgaria is also going to start expanding their photovoltaic park. And last but not least, Aurubis Richmond will start operations in the second half of the calendar year '24. The other projects, as you can see on the chart, will be commissioned credibly in '25 and '26 as shown. Let's have a special look at the progress in Aurubis Richmond, followed by the status of some of the project in Hamburg Magara, which my colleague, Markus will refer to. Just showing at the picture, looking at the picture here, and you can see the real visible progress of the Aurubis Richmond side, the facility that we are directing in Georgia for as the first multi-complex recycling plant in U.S. The site is steadily and constantly progressing. The whole team that we have now on site is working on the preparation and corresponding implementation and important in time and in budget. And I'm pleased to announce that we are going to invite our stakeholders to the ribbon-cutting event on September 20 this year '24. So we are really excited to share this moment of starting this significant strategic project for Aurubis jointly with you. And with this, I would like to hand over to Markus Kramer, who will continue with some specifics on the projects here in Hamburg and other sites.
Markus Kramer: Yes. Thank you, Roland. Good afternoon, ladies and gentlemen. Warm welcome also from my side. delegated from the Supervisory Board. I joined the Executive Board team as of 1st of March as Chief Transformation Officer. And as said by Roland, I would now like to share with you some more details about what is currently happening at our primary sites in Hamburg and in Pirdop. Let's start with Hamburg. In the upcoming months, we are conducting a major shutdown at the Hamburg plant. This shutdown will be used to execute and implement announced projects like the industrial heat Phase II and the H2 ready anode furnaces. We will invest a total of EUR 235 million in baseline and strategic CapEx and enhanced sustainable copper and metal production in our Hamburg site. The execution of the maintenance shutdown is a large-scale logistical and technical project with many misroughly 1,500 internal and external people coordinating the 250 different maintenance and repair activities. Despite the baseline investments in the new brick lining of the furnace, the revision of the waste heat boiler and maintenance work, the 2 strategic projects mentioned will also be implemented. With these investments, the Hamburg site will be able to increase the maintenance cycle back to every 3 years. Let's have a look at some details of our strategic investments in the Hamburg site. First, the expansion of our industrial heat system; second, H2 readiness, our hydrogen capable and node furnaces. With the second expansion stage of the industrial heat expection to supply up to 20,000 households with CO2-free industrial heat, Aurubis is providing an important step for the transformation of the heating system in the city of Hamburg. Aurubis has already successfully supplied CO2-free industrial heat since the year 2018. With this next step, we will deliver the remaining possible heat to the city of Hamburg. Significant and relevant investments have already been made in 2022 so that the final steps can now be implemented during the shutdown. All in all, for this project, we will invest roughly EUR 100 million into the site, thus securing and strengthening its core business. The second investment is for the H2 readiness of our anode furnaces. This investment will allow the Hamburg site to use hydrogen instead of natural gas as a reduction agent in the processing step of the copper value chain. In addition to decarbonizing production, the new furnaces will improve process flexibility as well. Compared to the current equipment, the new furnace technology enables the processing of more complex metal-bearing copper caster. And already today, our base produces copper with less than half the average global carbon footprint. This investment now will, in future, allow the Hamburg plant to be one of the first copper smelters in the world to use hydrogen instead of natural gas for the reduction process in its anternaces once this is economically feasible. Let's move over to our investments in the Pirdop site. Besides major investments into Hamburg, this is where we equally invest in baseline investments and strategic investments. These investments are a clear sign of the importance of the site in Pirdop as a central pillar of our smelter network and reflects the largest investment program since the site was acquired in 2008. All in all, Aurubis will invest EUR 400 million. In our Bulgarian side, 60% of the EUR 400 million is included in the strategic group investment package of EUR 1.7 billion. The groundbreaking event for the expansion of the tank house and for solar park model 2 and 3 took place on April 25. On top of the 2 mentioned strategic projects, we will also be investing heavily in the infrastructure of the site with the deployment of 460 high-efficiency motors replacing transformers at the site, and we are investing in train cars to transport copper concentrate from the port of Bogas to Pirdop. The projects in Pirdop are not new to you as they have been announced and explained in detail to the market. But let me highlight some information once again. Firstly, the expansion of the tank house will increase the site's annual production by around 50% to 340,000 tonnes with an investment of EUR 120 million. With this investment, we plan to sustainably supply critical raw materials, in particular, refined copper to enable the energy transition in Europe. Aurubis will increase the group's production capacity of cathodes and improve the CO2 footprint group-wide with lower logistical requirements between the sites. Secondly, Aurubis also broke ground for the expansion of 2 additional solar power plants. This investment will increase the company's captive power generation through the construction of additional photovoltaic module. The groundbreaking was the kickoff for the construction of modules 2 and 3. The fourth and final stage has already been approved. When all 4 modules are completed, they will supply around 15% of the site's electricity needs with green energy. The systems will generate around 55,000 megawatt hours per year, which is enough electricity to supply a town of 25,000 people for a year. The entire part will have a capacity of around 40 megawatts peak. With these investments, we continue to drive forward with the implementation of the driving sustainable growth strategy and underline our ambition to become one of the most sustainable and efficient melter networks worldwide. And with this, I would like to hand back to Elke.
Elke Brinkmann: Thank you, Roland and Markus. I would like to provide you with an outlook of the next event following our half year publication. The publication of our Q3 figures will be on August 5. Our annual report will be published on December 5 this year. And with a view to 2025, the Annual General Meeting will take place on April 3, next year. With this outlook, we would like to thank you for your attention, and I would like to ask the operator to take over for your questions.
Operator: Thank you very much. [Operator's Instruction] And first up is Jason Fairclough from the Bank of America.
Jason Fairclough: Yes. Just a couple of quick ones for me. First, could you talk a little bit about your contract book? I'm just thinking about how quickly it rolls off if we have an extended period here of low TCRCs? And then second, maybe a little bit shorter term, how do we think about profit weighting between the first half of this year and the second half? Should we expect lower profits into the second half.
Roland Harings: Regarding contract, Jason, as we discussed also, we are very much looking into long-term contracts with our suppliers in the input side and also with our customers on the output side for product. And as I stated, we are well supplied in quantity, quality and also in pricing oriented at this year's benchmark, which is 8% for the total calendar year. And next year, we will have new contracts, very much discussing some pricing components. But again, we are taking the official benchmark as an orientation and we source our concentrates above the official benchmark. We are able with our mix, with our also ability to handle complex and difficult concentrates, we are seen as one of the key players in handling these kind of materials. So short answer for this calendar year, we are fully sourced and pricing is set. Regarding profit, I think what is important to mention that we have, as Markus explained, we have a significant standstill in Hamburg actually this quarter started yesterday, and it will take us into July. And the impact of this sense is estimated at be around EUR 40 million, which means if you take, let's say, things alike, first half, second half, at least, we will have an impact of the standstill. However, counter, let's say, positive is the development of the metal prices, which will increase our free metal gain position there. And so therefore, we don't see a significant change between the first and second half. And again, our guidance with the EUR 380 million to EUR 480 million at the moment. But we are conservative is that we come in at the mid of the range.
Jason Fairclough: Okay. Could I just follow up on the contract book. So it's an annual contract book. And obviously, you have a September year-end. So you're protected on quarter into next year. But as a hypothetical exercise, let's say that TCRC's benchmark came from 80 and 8 and it was down at 66%. Would you see the full impact of that change? Or do you have protection beyond that?
Roland Harings: Yes, we have some protection beyond that. But clearly, the first quarter of our fiscal year will be to this calendar terms. So there will be no change. This is part of the contractual arrangements. And there's always a bit of a, let's say, swap over into the next calendar year. But to give you some guidance also perhaps here for the total audience. If you have a 10 point or let's say, $10 difference in TC/RCs, it's about an impact for us of EUR 20 million. So which if I take your number going from 80 to 60, it would be on an annualized basis on a 12-month basis would be a EUR 40 million difference. But as I said, the first quarter of the next fiscal year is within this calendar year, so hence not impacted by any change of the annual benchmark.
Jason Fairclough: And sorry, that impact is per quarter or on a full year basis?
Roland Harings: Total year. Total year. 12-month period yes.
Jason Fairclough: If we look at spot TCRCs at 0, does that mean that your business can actually take spot TCRCs at 0? It's fine. You still have some profit?
Roland Harings: Yes.
Operator: And next is Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: My first question is also on the concentrate market. And here, I just wanted to pick your rein on whether you think that we may be running into a scenario where the benchmark may potentially even be abolished, and you may just enter like a different business system with your customers and suppliers. That's my first question. And then maybe in relation to that, are you basically foreseeing any force shutdowns anywhere outside China at this point?
Roland Harings: Yes, Bastian, thanks for your question. I think you're absolutely right. This business model that Chinese smelter with some international mining companies set the pricing for the total world is something which has been discussed in the industry in ICA and so on. However, having said this, nobody has come up with a better idea at this point in time to have some orientation there. Again, given that we have very long-term strong relationships with many mining companies, and we stated that we are buying around concentrates from around 40 different mines around the world. We have a very strong diversified network. And we're also seen as a very important partner for many of the mining companies. So we are very confident that we will get the concentrates and receive the concentrate at decent terms to operate our smelters. And to the, let's say, concentrate market in general, I think we have to be careful that we are not over, let's say, overstating some of the events. If you look what announcement of Anglo with some production cost cuts and then the situation at Copa Panama, how this disrupted the market. This was for me, a very strong overreaction given in the huge concentrate market that we have in the world. And even with McKinsey and also CRU, they are estimating a different a deficit in concentrates of about 1 million tonne, which again, if you look at the total market, this is not a large number for so many smelters running around the world. And regarding shutoff the shutdown of certain smelters, the CSPT, the Chinese sourcing and procurement team has announced some significant maintenance periods. That's how they call it, in China for some of the smelters. We'll see, for sure, there are smelters in China, which are not profitable at certain TCRC levels, certainly not at the spot levels that we see today. but it's very difficult for us to judge what is finally then going to happen? Are they going shut down or reduce production. I think important talking about Aurubis, we enjoy a very solid and resilient business model with many different strong earning drivers. So I would say Aurubis is the last month spending, we are a very strong player in the smelting industry.
Bastian Synagowitz: That also leads me to my next question. I mean, you recently gave an interview where you said that I think the industry may potentially have to consider a larger degree of trade protection also for the Western markets here. So what do you exactly think needs to happen?
Roland Harings: Yes. I think this is a reference to the recycling market. And what we see, and I referred in my presentation here to this, I would say, not level playing field from Chinese that with arbitration of the Shanghai LME towards the London LME that there is a benefit for them to offer very, very low terms RC terms for metals, not just for copper, but also for other recycling and important metals in the European and the American market. I'm not asking for protection, but I'm always arguing we need to have a level playing field because we are competitive, we are really strong in what we are doing, and we stand up and compete with any smelter in the world. But again, we need to have fair conditions in the market. And therefore, the idea is some kind of, let's say, correction if they are, and I use the word if they are playing with metal prices in order to attract certain metal units into their region.
Bastian Synagowitz: Okay. And then moving over to the recycling market. I think you mentioned that you started to see a couple of indicators basically suggesting that we may be at an inflection point. So what's really driving that confidence? I guess, conceptually, given where metal prices are, one would also believe that the value in the scrap pool has just risen so much that also should, at some point, be a larger degree of supply from that scrap pool. But what at this point is driving that -- those green shots of the easing situation?
Roland Harings: I think what we see, yes, metal prices always help the recycling industry because it's highly attractive to do processing, collection and processing. So we see there is a direct effect of higher copper prices to the availability of scrap First point. Second point, we see, and that's even more important, some better availability of, I would say, industrial residues, slacks, lines, whatever comes metal-containing residues from the industry, we see some better availability. So some industries that our conclusion, some of our long-term partners are increasing or even restarting their production. Energy prices have come down, and there is a perspective that they will stay at a certain level, a lower level than in the last calendar year, which we also confirm. So therefore, we see an inflection point, we don't see in a moment that volumes availability is going down. It's rather the opposite and again, supported by a good outlook or good pricing and a good outlook for metal prices.
Bastian Synagowitz: Great. And my last question is actually probably would have been one for Mr. Hersen but it's actually on cash flow and working capital. So sorry that I'm throwing that at you. But from my perception, I think the cash flow and the working capital, in particular, has developed quite a bit better than what you indicated, I guess, also in the last conference call. So what are the net debt levels you're envisaging until the end of the year? And have those numbers basically changed versus what you were hoping for earlier?
Roland Harings: No. Thanks, Bastian. You're testing me here. That's good. So no cash flow really, what is development. We were assuming significant buildup of material for the standstill here in Hamburg. So not to keep our tank cars running. We have been able to manage this, I would say, a bit smarter so that we didn't have to build up these volumes at the beginning of the sand. So therefore, it's a bit kind of a phased approach that we have found. So that was a very positive effect. And we have also on the investment despite increasing our CapEx in the first half year, significant compared to the last half year, but we came in slightly lower in the numbers, mainly cash out paying invoices and everything, not reduced progress, but really kind of less money to be sent to our supplier base. And I'm looking here at my team to help me on the number. So we do expect, given our significant CapEx with EUR 900 million, we expect a cash flow forecast of EUR 500 million to EUR 600 million for this fiscal year.
Operator: And the next Ioannis Masvoulas from JPMorgan.
Ioannis Masvoulas: First one, going back to the outlook for recycling and the fact that you pointed the increased competition for scrap from Asian players, how should we expect that to develop into the second half, assuming the concentrate market remains even tighter, would Asian players pull more scrap units to make up for the limited concentrate availability or not? And if that's the case, could it be an incremental negative effect for your business beyond just the exposure to treatment charges?
Roland Harings: So outlook recycling, I think I referred to it, we are well supplied... Still there. So yes, okay. So outlook for recycling. So we, as I stated, are well supplied for our recycling plants into the last quarter of our fiscal year. So we have been able to source the necessary quantities and a good -- I would say, at good prices. What we see, given the size and the importance of Aurubis that we are able to get really the materials that we need for our plant system. And again, our strength is that we have flexibility that we are able to take recycling materials of all kind of all kind of mixture into our system, which means we have some -- we see some shortage for specific material qualities, we are able to replace them with other material quality, specifically given our smelter network where we can shift certain quantities around. So therefore, we don't see any change of the situation for the second half. Again, we are supplied at decent terms for this fiscal year. And let's see what the Asian smelters are going to do. There are also certain limits how much scrap these kind of smelter can use as a replacement of their metal units. So there are also kind of production and physical limits what they can do. So I think there is not worse to come. But again, our argument, my argument is we would like to see a level playing field than we would be absolutely fine.
Ioannis Masvoulas: Very clear. And second question, again, on recycling. If we look at the EBIT in the first half of the fiscal year, you delivered EUR 75 million. And does that suggest that you're tracking well into the upper half of the guidance range and you could potentially beat the upper half. Could you comment whether you're being too conservative here? Or if there are any headwinds in the second half beyond the maintenance impact.
Roland Harings: Yes. No, good catch, Ioannis. I think what is important, we are now in the real ramp-up phase in Richmond, which is a significant additional cost that was lower in the first half of this fiscal year, and it's higher in the second half. So there is a bit of, I would say, a cost pressure or cost increase in the segment. But I think as you know us very well, we tend to be a bit conservative with our estimates. And we rather surprise you with positive numbers than to the opposite.
Ioannis Masvoulas: And sir, can you remind us the ramp-up cost that you're budgeting for Richmond in the current fiscal year?
Roland Harings: Yes. So we estimate the ramp-up cost for this fiscal year at about EUR 30 million.
Ioannis Masvoulas: Great. Very clear. And very last one for me. We've seen several companies in the U.S. receiving grants, including for investments in copper recycling. Do you expect the Arubis to benefit from U.S. policy support in the short term? If not, is it more of a medium to long-term prospect? I'm just trying to figure out why Arubis would not have benefited from these grants given your very significant investment in the country over the past couple of years?
Roland Harings: We have started the project in Richmond because we see a highly attractive market, and this was started before IRA or other schemes have been put in place. And what we have seen since then has really confirmed our decision here. It's a highly attractive market environment with very good conditions on the energy on the whole, let's say, administrative permitting side. So I think we are very pleased with the decision and the progress there. We have applied, but we are not -- it's a very complex team in the IRA where you get grant, where you get tax credits. We have talked with the authorities. We have also applied within certain schemes, but our project has so far not been taken into account and it's not eligible for the IRA funding. It doesn't mean that's forever and that other investments and expansions that we are discussing or working on in the U.S. might be eligible. But as it stands today, we cannot take anything from IRA or on the subsidies into account.
Operator: Your next question comes from Maxime Kogge from ODDO BHF.
Maxime Kogge: So first question is on the guidance upgrade, yes, because last time you said you were rather targeting the lower end of the guidance. Now it's a midrange, so it's very positive. But is it fair to consider that it's mostly driven by metal prices that have developed quite well over the recent months? Is it the major driver? Because at the same time, you seem to be a bit more muted on the wire rod sales. I think you said last time that they would be higher than last year and now they will be at the same level? So that's my first question.
Roland Harings: Yes, Maxime. -- happy to answer. Yes, guidance, we see -- we are now in the middle of the range. Metal prices are positive, have a positive impact, no doubt. But also generally, we see a positive market environment for our product, for our cathodes and also a continued positive or more positive outlook for sulfuric acid, as I explained also in my statement. So that's certainly something we are -- let's say, we have built our now better, let's say, higher guidance for the rest of the fiscal year. Regarding ROT, very strong demand. And without disclosing April was a good month, was a really good month for ROT and we have no indication that this is going to slow down. It's perhaps the point that our customers, the cable manufacturers, they also are running at very high capacity levels, utilization levels of their capacity. And we heard from some that they have order books for specific energy cables, which are 2, 3 years already, and they are investing in increasing their capacity. So I think there's a certain inertia in the system until the new capacity comes on stream as we are very sophisticated and, let's say, complicated cables they are producing. So we announced the long-term contract with Prismion, I think, which is a good indicator that there is a positive outlook and increasing outlook for word for Aurubis in the coming years.
Maxime Kogge: Okay. And second one is on the fraud that you suffered. I mean, the preliminary activities that you suffered last year, I think you still had to precisely determine what share of it related to theft, what share related to collusion and what share related to perhaps something else. Where do you stand in that respect where when are you going to finally determine actually the various drivers behind this?
Roland Harings: Yes. We have announced and repeated also today that the financial impact was EUR 169 million in the last fiscal year. Everything is behind us. We have booked, we have this in our last year's results. And we have given some statements, some orientation about the, let's say, the magnitude of the different criminal activities, but we are not going to disclose any more details about this. I think important is that we have now terminated the internal investigation. We have taken the necessary measures. Also here, we are not disclosing all the details on people who were involved -- and so that we have also kind of separated from some of the persons in the company. And we have put significant lesson learned and measures in place so that we are highly confident that what happened last year is not going to happen again. And Markus is sitting next to me, and you know that when we announced this comment from the Supervisory Board, one besides safety, one of his key responsibilities and focus is to work on the security concept of the company. And I think, Markus, if you want to comment, but we have made really significant progress in many areas there. So that's where we stand today.
Markus Kramer: Maybe a couple of words, Maxime. I mean, under what we call Project Safe, we have developed more than 300 measures which have been already implemented or are under implementation or going to be implemented pretty soon. As Roland said, we are not going to disclose too many details because we don't want to give any recipes to the outside world because as we all know, as much as we can do also criminals out there are improving their arsenal of weapons as well. But happy to have you here and walk around, you can see the difference from like 12 months and now literally in what has happened on the site in Hamburg, but also we take this as an opportunity to improve our overall level in our entire network. So we are progressing well and as planned on this project.
Ioannis Masvoulas: And just the last one on TCC for concentrate, sorry to cut that, but we have seen negative prices actually over the past few weeks. And this was something that was not imaginable enter recently. And would you expect some smelters to accept to pay minors actually to get the concentrate and yourself, would you be ready to pay for concentrate? I know you're not very active on the spot market, but I would be curious to have your view on that.
Roland Harings: Yes. Okay. That's an interesting question. Would you be prepared. No, I think I'm also going to speculate what other market participants are going to do in which situation. I think it's always a very, very specific situation. for different players. Again, looking at the fundamentals, this is, from our view, a complete overreaction of what's happening in the TCRC spot market and things and also growth projects in the mining industry, also now supported by significant higher metal prices are going to be accelerated. And therefore, things demand and supply will kind of balance out. And again, we are not speculating, I'm not speculating about TCRCs for the next year, but I don't think that we will see any benchmark numbers, which are the reference at something like negative numbers. So I think this question will not be asked to Aurubis if we would accept something.
Operator: And next up is Daniel Major from UBS.
Daniel Major: Can you hear me, okay?
Roland Harings: Yes. Yes.
Daniel Major: Great. Yes, just one key question really. You said that the current suite of projects are on track. I think previously, you indicated the EUR 440 million for the first phase, $300 million for the second phase of the Richmond project. Is that second phase still in line with budget. Obviously, the first phase is nearly complete. Are you still confident in the guidance there for Phase II.
Roland Harings: Yes, we are very confident because if you look also just look at the picture, we have already completed significant parts of the Phase II, for example, the civil, the steelworks and foundation works and so on. So that was the idea when we decided in '22 to continue directly with the Phase II that we keep the construction site running and keep the contractors there on site and finish the work. So clear answer, yes, we are very confident that this number also given on already work being done and contracts with fixed prices in place that we will deliver Phase 2 within the set project financials and timing.
Daniel Major: Great. And then just one last one, if I may. You've provided some sensitivity earlier around the treatment charge. Can you provide the same for the copper price? What does $0.10 a pound, $100 a ton, whatever you want to quote. Can you give any sensitivity on that through the metal result?
Roland Harings: Yes, Daniel, as we see ourselves more as a multimetal producer, it would be a bit misleading if we give a single number on a certain level. But I think if you look at the total metal gain, which we're disclosing, you can easily a 10% metal price increase for the overall portfolio of different metals would have a EUR 60 million to EUR 70 million impact per year. This gives you an idea, but please excuse and accept that we are not disclosing the details of our single metal positions in the free metal game.
Operator: At the moment, there are no further questions. [Operator's Instruction] And we have a question coming from Cornelius from Hauck AufhÃ¤user.
Cornelius: I would just have a question regarding the TCRCs for the quarter that has just ended. If I was correctly in mind, the benchmark was 8 and 8, which is lower than the previous year. So I'm a bit surprised that you reported higher TCRCs for Badavas compared to the previous year. Could you maybe explain the dynamic behind that, that would be great?
Roland Harings: Yes. Okay. No, good point. Good catch. You have to take the fiscal year versus the calendar year into account. And if you see the year before, there was a 65 and 6.5% benchmark, then there was an 88 and 8 and then was an 80 and 8. So you always have this kind of swing between the different quarters. So therefore, we have, in this first 6 months of the fiscal year, we have a better TCRC income compared to the period before.
Cornelius: All right. So that that will be lower than for the next quarter? Is that right?
Roland Harings: Yes, there is -- if you take this just benchmark by benchmark, yes, but again, we are buying concentrate above the benchmark level. We have contracts which are not linked to the benchmark. We have a very, I would say, portfolio of different and also complex with certain penalties and special treatment charges. So take it as an orientation, but don't take it one-to-one.
Operator: Thank you. There are no further questions.
Elke Brinkmann: Okay. Then we close the analyst call. Thank you again for your attention. Have a nice afternoon and goodbye. Goodbye.